Operator: Greetings, and welcome to National CineMedia Incorporated Q1, 2022 Earnings Conference Call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Dan Dorenkamp, Finance Director. Please proceed, sir.
Dan Dorenkamp: Good afternoon. I'm joined today by our CEO, Tom Lesinski; and our CFO, Ronnie Ng. I would like to remind our listeners that this conference call contains forward-looking statements within the meaning of 27A of the Securities Act of 1933 as amended and Section 21E of the Securities Exchange Act of 1934 as amended. All statements, including our discussion about the future impacts of COVID-19, other than statements of historical facts communicated during this conference call may constitute forward-looking statements. These forward-looking statements involve risks and uncertainties. Important factors that can cause actual results to differ materially from the company's expectations are disclosed in the risk factors contained in the company's filings with the SEC. All forward-looking statements are expressly qualified in their entirety by such factors. Further, our discussion today includes some non-GAAP measures. In accordance with Regulation G, we have reconciled these amounts back to the closest GAAP basis measurement. These reconciliations can be found at the end of today's earnings release or on the Investor Relations page of our website at ncm.com. Now I'll turn the call over to Tom.
Tom Lesinski: Thank you, Dan, and good afternoon, everyone. Welcome to our first quarter 2022 earnings call. Q1 was our fourth straight quarter of strong year-over-year revenue growth with a significant upswing in advertising sales as millions of Americans once again returned to the movies. Advertisers are taking note of the Q4 '21 and the Q1 '22 blockbuster success of Spider-Man and the Batman. In addition, this weekend smash opening of Disney and Marvel's Doctor Strange and the Multiverse of Madness opened with an explosive $187 million, and NCM had 24 of the top 25 theaters in our network. The success of these films clearly demonstrates the continued strong demand for the out-of-home communal experience that cinema uniquely provides. Our first quarter revenue exceeded NCM guidance, and we are gaining momentum as we move into the second quarter with the expectation of a strong summer film slate. We're also seeing increased cinema advertising demand stemming from continued linear TV ratings declines and changes to privacy controls online and on cell phones that are raising questions about the future effectiveness of digital advertising. All of this makes us even more optimistic about the future of National CineMedia. During today's call, we will provide a high-level update on our company's successes and continued momentum in the advertising marketplace. I will also speak to how we are moving ahead to expand, diversify and strengthen our business with new products, services and offerings, enabling us to capitalize on a strong 2022 theatrical film slate. We'll also discuss the success of our in-person upfront events held in Chicago and New York in March and Los Angeles in early April, where we presented four key messages to hundreds of media buyers and brands. One was the return of the mass audience to the cinema, two, the benefits of our new data intelligence platform; three, the marketing power of our refreshed Newbie preshow and most importantly, four Cinema's unique ability to reach a young, diverse audience at scale. Then we will open up the line for your questions. So Cinema truly is back. The box office momentum throughout the second half of 2021 saw moviegoers returning in droves and has continued into 2022. The success of Spider-Man No Way Home continued to reverb well into January of 2022. Spider-Man reached the rare domestic box office milestone of $800 million on its 100th day release, becoming only one of three movies to do so in Hollywood history. Followed by the first quarter blockbuster hit the Batman, which exceeded industry expectations, we saw cinema once again deliver at scale, specifically against that coveted diverse 18 to 34 year-old demo. Notably, the Batman opening weekend had higher ratings than the top 16 broadcasting cable telecast combined and has generated over $369 million domestically. Uncharted, also exceeded box office expectations driven by men under age 35 and strong diversity demos. But it's not just the younger audience who, have returned to the movies, estimates across all agent gender demos have performed above expectation. The Lost City starring Sandra Bullock and Channing Tatum, demonstrated that romantic comedies are still a popular genre driving women back to the theater. Females accounted for nearly 60% of the opening weekend audience overall, with women aged 35 plus compromising close to 50% and the film has generated over $94 million to-date. And most recently, Sonic the Hedgehog 2 demonstrated that families are also back at the movies. The kid-friendly film earned an impressive 72 minutes first weekend with 32% of attendees under the age of 17 and a mass of 70% in diversity numbers. To-date, Sonic has earned $169.9 million at the box office. We anticipate continued moving over demand with a strong spring and summer slate of releases ahead. We expect to see a reverse and impact of the pandemic on production and post-production schedules as the number of releases increase and more importantly, exclusive theatrical window policies of film producers and distributors stabilize. In this respect, the recent decline in streaming subscription growth is expected to enhance cinema's position as a primary release and marketing platform for feature films. We saw a significant uptick in the ad contract deal flow in Q1 across all areas of our business, including on screen, digital, digital out-of-home and across both local and national advertisers. We are seeing more clients in categories returning to cinema advertising, including automotive, travel, dining, gaming, wireless entertainment and consumer packaged goods. Just a few weeks ago at the industry's annual convention, CinemaCon, we saw firsthand an incredibly compelling and diverse slate of films for the remaining 2022 and 2023 from all the major studios with a significant emphasis on exclusive theatrical windows as well as the importance and impact of the immersive shared experience of the cinema. All the studios and movie stars, directors and producers echoed over and over again that not only are movie theaters back, but that theatrical releases are the cornerstone of the entertainment business. And nothing can compare to the unique impact of viewing a movie on the big screen and its ability to transcend moviegoers into other magical worlds. Based on the sneak - film previews and footage, we could very well see some major movie blockbusters in the year ahead. As I mentioned previously, we recently completed three major in-person upfront events in New York, Chicago and Los Angeles, targeting the entire advertising and media planning and buying community. Our goal was to generate excitement and interest about the return of movies in NCM's unique market like place, position in advance of the TV and digital 2022-2023 upfront selling season. During these presentations, we made several important announcements. First, we officially launched our new data intelligence platform, NCMx, which connects brands with custom audiences in theaters as well as on digital screens before and after attending movies. With NCMx, cinema is now more targetable, measurable and accountable than ever before, offering brands highly customized, hard-to-reach audience segments with the enhanced ability to measure clear business outcomes and return on marketing investment. Marketers can leverage NCM to execute advanced audience matching against key demographic, geographic behavioral and contextual targets on the big screen as well as use NCMx capabilities to retarget moviegoers with digital ads and mobile offers. With nearly 300 million data records, NCM provides marketers access to the benefits of one of the largest collections of deterministic moviegoer data, giving brands a 360-degree view of recent consumer behavior with performance metrics to refine campaign plans and generate a better return on their advertising investment. Response to this powerful new data-driven offering has been extremely strong with healthcare, QSR and CPG brands already taking advantage of our new capabilities. At our corporate events, we also focused on however we can target our coveted Gen Z and millennial moviegoer audience. Nearly one out of every two adults who visit a movie theater in the fourth quarter of 2021 and the first quarter of 2022 are 18 to 34-year olds and 79% of moviegoers attended in NCM theater are under the age of 39. Declining viewership on linear TV and extensive cord cutting, especially among ad skippers, younger audiences has forced marketers to look for more compelling alternatives to reach these consumers. Movie theaters continue to attract and capture the undivided attention of this valuable and highly desirable demographic. Not only do we deliver a hard-to-reach young audience at scale each weekend, but they're also 59% multicultural with Hispanics accounting for 22% of our audience. We also launched our reimagined Noovie preshow, featuring on our way of new content series, strategic partnerships and a diverse cross-section of TikTok, Instagram and YouTube stars and celebrity talent. These programs embrace broader cultural themes, causes and consumer passions, engaging Gen Z and younger millennials while offering relevant ways for advertisers to forge stronger connections with NCM's hard-to-reach audience. Our new original series launched in second quarter is the Noovie Trivia Show, inspired by our proprietary Noovie Trivia app and starring entertainment of [Maria Minutes], who engages film and online social celebrities with Movie Trivia. Marketers can also enlist Noovie Studios, NCM's in-house creative team as a partner to develop and produce original branded content, cinematic stories, experiential programs and influencer activations that best resonate with moviegoers. The service is especially valuable to local and regional clients who may not have access to high-quality creative and production capabilities. But the buzz coming out of these three events were strong with significant media coverage in the major trade marketing platforms. These newly launched offerings are also beginning to generate increased demand as we move into upcoming upfront negotiations. With hundreds of clients in attendance, the events accomplished our goals are generating early interest and consideration into the TV and digital upfront seasons. We're already seeing renewed activity from key categories such as travel, wireless, restaurants, gaming, entertainment and packaged goods across our national local and Digital-Out-Of-Home businesses. We're also seeing a rebound in the automotive category as the supply chain issues begin to abate and car dealers begin to receive car deliveries. During our next earnings call in early August, we'll be able to update you on our upfront marketplace success. In our local markets, government healthcare and education continue to hold as the top three categories. In the first quarter, we also saw growth in regional automotive and in travel and tourism. We also successfully completed a reorganization of local and regional teams to focus on higher contract value from larger clients and agencies in addition to generating significant operating efficiencies. We're very optimistic that the box office momentum will continue given the package -- the packed release schedule. One of the most anticipated movies of 2022 Dr. Strange just reported the biggest weekend box office of the year to-date with $187 million in ticket sales, surpassing the Batman's $134 million. Following Dr. Strange comes the return of Tom Cruise in Top Gun Maverick, then Jurassic World Dominion and Lightyear. This strong film slate for the spring and early summer is expected to draw large audiences across all demos, most notably younger families. The improving cinema business outlook combined with the stronger market of demand for our network. After a great series of upfront sales meaning it sets us up well to continue to grow our revenue and cash flow and begin the process of delevering the company. I'll now turn the call over to Ronnie to discuss our Q1 financial results in more detail.
Ronnie Ng: Thank you, Tom, and good afternoon, everyone. The first quarter marked a solid start to the year, which exceeded our expectations. With the pent-up demand for the theater going experience plus the relative bargain of a theater ticket in a high inflationary environment, as attendance continues to build back towards normal levels. The recovery in attendance strongly positions us to deliver high-quality audiences to our advertising partners. Despite the first quarter being seasonally slow for, both advertising and theater going, our sales fundamentals further improved during the quarter with higher CPMs comparable to the same period pre-pandemic, with our revenue per attendee continuing to close the gap with 2019 comparable periods. Before I discuss the financial highlights for the quarter, I would like to remind everyone that due to the realignment of our regional sales force at the start of the year, local and regional sales will now be reported on a combined basis with local sales whereas in prior periods, regional sales were reported as part of the national sales totals. All prior periods have been adjusted within the earnings release and 10-Q, consistent with this new strategy and thus are comparable. Total revenue for the first quarter was $35.9 million, which exceeded the high end of our guidance and more than six times compared to the same period last year when over 40% of the network was closed. National revenue for the first quarter was $26.3 million and was more than eight times of the prior year. Revenue during the quarter reflects the return of upfront sales to the mix. The upfront commitment enhanced our ability to better monetize the box office success of the Batman and Spiderman. During the quarter, we also saw some traditional sectors increased their spend on the platform, such as travel and automotive. With network attendance coming back, we increased impressions sold at higher average CPMs, driving revenue per attendee back towards the first quarter levels we experienced pre-pandemic. Advertisers' interest in our new 60-second Platinum unit also continued to go off four quarter demand with units being sold in the first and second quarter. In fact, we sold platinum inventory multiple times in May alone. Looking at some of our key operating metrics, network theater attendance for the first quarter of $76 million exceeded our expectation. As mentioned, it was negatively impacted by the fewer film releases. While the first quarter attendance was just over 50% of the 2019 first quarter pre-pandemic attendance. The attendance per film was up 20%, reflecting very strong consumer demand for the cinema experience. As Tom mentioned, we expect a number of films to continue to increase over time as the impact of film production and postproduction COVID-related disruptions subside and filmmakers begin to rethink their release windowing and marketing strategies. After the recent slowing of streaming subscriber growth, Cinema may once again start to be viewed more favorably as a primary release and marketing platform for future films. Our Q1, advertising and pricing also improved with national CPMs exceeding that for the first quarter of 2019 by 2.4%. This marks the second consecutive quarter since the pandemic in which pricing exceeded 2019 levels. National utilization rates for the first quarter also continued to further close the direct of the gap with that of 2019 as having more upfront dollars on the books compared to 2021 have helped with the monetization of available impressions. As a result of all these improving metrics, our revenue per attendee for the first quarter was 91% of 2019, a significant improvement over the last two quarters, which averaged 60% of 2019. As the pace of recovery continues to accelerate, we are continuing to monitor and manage expenses prudently, but in a way that promotes sales growth. As we have discussed prior, we expect certain operating costs, particularly many variable costs to increase as our business activity continues to move back towards historical levels. That said, there are meaningful core operating efficiencies implemented and cost savings recognized during the past two years that we expect to be permanent. As the first quarter 2021 was impacted by the closure of 40% of our network, we have compared operating expenses for the first quarter of 2022 to the fourth quarter of 2021 to provide more meaningful insights in our operating costs. First quarter operating expenses, excluding depreciation and amortization and one-time costs were $44.1 million, approximately $2.7 million or almost 6% lower compared to the fourth quarter. The reduction was primarily related to lower advertising operating costs from decreased affiliate expense and lower theater access fees related to the seasonality of the business, partially offset by higher administrative expenses. The increase in administrative expenses compared to the fourth quarter was due to slightly higher legal and professional expenses and the reversal of bonus accrual in the fourth quarter combined with the first quarter bonus accrual, which the fourth quarter did not have. Also in Q1, for the first time since the pandemic started, we brought all of our full-time employees back to full pay. It should be noted that we are currently operating with 45% fewer employees than we had at the start of the pandemic. A slight increase in selling and marketing costs from the fourth quarter to the first quarter was related to the one-time reorganization of the sales force. In the first quarter, our core operating expenses averaged approximately $6.6 million per month compared to our pre-COVID run rate of $9.5 million per month for a savings of 31%. First quarter adjusted OIBDA was negative $6.8 million, which was within our guidance range. It's also important to note that adjusted OIBDA improved each month throughout the first quarter, with the month of March generating positive adjusted OIBDA. First quarter 2022 compares favorably to the negative $16.2 million of adjusted OIBDA during the first quarter of 2021. Since the third quarter of 2021, our results continue to show meaningful year-over-year improvement. In fact, we are expecting beginning with Q2 to generate consistent positive quarterly adjusted OIBDA into the future. The positive adjusted OIBDA trends continue to reflect the revenue growth driven by the continued return of moviegoers and increasing advertiser demand, combined with our prudent expense management. Integration and other encumbered theater payments due from AMC for the first quarter were $0.2 million compared to none for the same period during 2021. As a reminder, integration payments are based on what NCM could have earned had advertising been sold in those theaters by our sales teams. These integration and other encumbered theater payments are added to adjusted OIBDA for debt compliance and partnership cash distribution purposes, but are not included in reported revenue or adjusted OIBDA as they are recorded as a reduction to net intangible assets on the balance sheet. For the first quarter, GAAP loss per diluted share was $0.31 versus a loss per diluted share of $0.25 in the first quarter of 2021. Included in the GAAP loss for the first quarter of 2022 was $5.8 million non-cash impairment charge of long-lived assets related to the write-down of certain internally developed software no longer in use. $6.4 million loss on remeasurement of the payable to founding numbers under the TRA and $0.4 million of sales force reorganization costs. Including the impairment, the adjusted loss per share was $0.20 for the first quarter of 2022, representing a 20% improvement over $0.27 for the first quarter of 2021. Turning to our balance sheet, total debt, net of cash at NCM LLC at the end of the first quarter was $1.08 billion compared to $1.05 billion at the end of the third - at the end of the year 2021. Our average interest rate on all debt was approximately 5.73% for the quarter compared to 5.18% for the first quarter 2021. This increase was primarily due to the higher rate on the new $50 million revolver that was funded in January 2022 and the $50 million term loan B that was funded at the end of the first quarter 2021. Excluding NCM LLC's revolver balances, approximately 72% of our total debt outstanding at quarter end had a fixed interest rate. NCM LLC's cash balance at the end of the first quarter was $76.2 million and including the $6.8 million of availability on our new revolver, NCM LLC's total liquidity at quarter end was approximately $83 million, which was in excess of our liquidity covenant that requires a minimum liquidity of $55 million. Our consolidated quarter end cash balance, including $38.9 million of NCM Inc. was $115.1 million compared to $102.5 million at the end of 2021. The Board of Directors declared a NCM, Inc. regular quarterly cash dividend of $0.03 per share of common stock. The dividend will be payable on June 7, 2022, to stockholders of record on May 23, 2022. On an annualized basis, quarterly dividend results and the current yield of 6.2% based on today's closing share price of $1.93. The NCM Inc. cash balance after paying of this most recent dividend will be approximately $36.3 million. This quarterly dividend achieved two primary goals. First, it allows NCM, Inc. to continue to pay a consistent dividend into the foreseeable future as we work through the deleveraging of our operating partnership in NCM LLC. This is consistent with the company's intention to distribute substantially all our free cash flow to stockholders through its quarterly dividend. Second, a slightly lower dividend will allow increased financial flexibility for NCM, Inc. As always, the declaration, payment, timing and amount - of any future dividends will be at the sole discretion of the Board of Directors. The company continues to prioritize financial flexibility and maintain adequate liquidity. The first quarter is another affirmation that business conditions continue to improve as our revenue continues to trend back towards historical levels. That said, there are still many uncertainties around the trajectory of our recovery. This uncertainty continues to make it difficult to provide longer-term annual revenue and adjusted OIBDA guidance. Thus, we will continue to provide guidance simply for the next quarter. We expect revenue for Q2, 2022 will be between $63 million and $70 million, which at the midpoint translates to 375% growth compared to the prior year. We expect second quarter 2022 adjusted OIBDA to range between $12.5 million and $18.5 million, with cash interest expense of approximately $19 million and approximately $1.6 million of CapEx during the second quarter. For the full year, we continue to reaffirm our monthly core OpEx guidance of $6.5 million to $7.5 million. We also continue to expect capital expenditures for the full year of 2022 to range between $6.5 million to $7.5 million as we continue to judiciously invest in management systems and other growth-focused initiatives. In summary, we continue to see the momentum build in our business with a solid start to the year and a strong outlook for the remainder of the year. As consumers return to leisure experiences, our national network is the number one place for marketers to find millennial and Gen Z moviegoers. This advantage is becoming even more important as TV ratings decline and marketers look for replacement GRPs. We are also aggressively back in the upfront media sales marketplace, allowing us to once again begin building a strong book of longer-term ad commitments. As Tom mentioned, he will provide you with more specific details about the success of our upfront strategy during our next earnings call in August. With all these favorable ad market trends and a pack movie slate for the second quarter and the full year, our business is well positioned to monetize on these trends. Operator, please open the line for questions.
Operator: Thank you [Operator Instructions] Our first question comes from Eric Wold with B. Riley. Please proceed.
Eric Wold: Thank you, good afternoon. A couple of questions, I guess one, Ronnie, I guess first off, can you reconcile revenues coming in above the high end of the guidance range, but adjusted OIBDA coming in at the low end of that respective range? What were the main drivers that prevented more positive operating leverage from flowing through or maybe what changed during the quarter on the cost side from when you first gave us those two guidance ranges?
Ronnie Ng: Yes, so the -- as you know, our Spider-Man actually lasted in the movie theaters a lot longer than I think where we even anticipated. So thus, the attendance levels, for the first quarter was a lot higher than where we thought it would come in. So most of the expenses difference, call it, between what we were expecting was really driven by theater access fees. And then legal and professional fees also came in a little bit higher than what we originally thought.
Eric Wold: Got it, okay. And then second question kind of, obviously, you're still in the early stages with this year's upfront. You talked about some better moves and maybe discussions during the kind of the meetings you've had recently, and we'll get more on that soon? But maybe on the scatter side, what are you seeing with the scatter market recently versus where it was on the last call, how competitive that still? And how are you thinking about CPMs and that side of the business kind of looking to trend through the remainder of the year?
Tom Lesinski:  I would say generally, the scatter market has stabilized. I think it's still a marketplace where it's relatively soft, not just for NCM but also for all the players in the media space. Having said that, the CPM levels for us are, in fact, stable, in fact, improving a little bit across the board. So there hasn't been an impact on CPMs in a kind of negative way. But I think as certain ad categories start to get more online from a supply chain, including automotive, which we're doing well in. I think that will help alleviate some of the softness in scatter. Having said that, the economy is in kind of an unusual place right now and I think there's some resistance from CMOs to allocate additional media into their budget. So each week is a challenge in the scatter market, but we're feeling actually pretty good about where we are. And candidly, the momentum we're getting from the upfront presentations is helping us in our scatter discussions as well.
Eric Wold: Got it, thank you both. 
Tom Lesinski: You're welcome.
Operator: Our next question comes from Mike Hickey with Benchmark Company. Please proceed.
Mike Hickey: Hey Tom, Ronnie, good afternoon guys nice quarter?
Tom Lesinski: Hi Mike.
Mike Hickey: Thanks for taking the questions and nice to see that guide for positive adjusted OIBDA. So feels like your light at the end of the tunnel so congratulations on that?
Tom Lesinski: Thank you.
Mike Hickey: I have two questions, the first one on the upfront. It sounds like you're leaning forward here and being proactive, maybe being aggressive. Just curious sort of if you can preview as much as you can, your efforts there on the upfront and sort of conversations with media buyers, what they're like versus what you're encountering sort of pre-pandemic and maybe the bridge you have to cross get back to where your business was? And last part of that question is sort of how media buyers are balancing the excitement for the upcoming slate versus maybe some concerns on the economy and maybe the coming session. I have a follow-up question later?
Tom Lesinski: Okay. So as you know, we got ahead of the traditional upfront, which is really hitting New York now and next week. And we visited the three major media centers, New York, Chicago and L.A. over the past month or so. And I think getting face-to-face with everybody, 300 or 400 people had a huge impact on creating even more significant interest and relevance in our business. Fortunately, we had some really good messaging in those meetings around box office and around attendance. I can tell you there's no resistance or hesitancy anymore from advertisers and committing to the upfront because of COVID or because of a lack of attendance. There's enough data points out there right now enough consistency in the box office that we're anticipating a very healthy upfront. We will start being able to really quantify that over the next two months. And certainly, by the time we get together with you after our next earnings call. We'll be able to give you more specificity on the positive nature of those discussions. So again, this is the first upfront we've had in two years where the theaters have been 100% open and that COVID's really no longer an issue. So just this past weekend, it was obviously a good example of the 11th biggest movie of all-time opening. So we are quite happy to have the past two years behind us. And candidly, the movie business went through rough going there as did we for two years, but we see none of the remnants of that anymore. And our expectation is that we'll have a very robust upfront.
Mike Hickey: Okay nice thanks. The second question for me, just curious with sort of the shift from moviegoers to buying tickets online, we're sort of wondering how they're filling the theaters if they're waiting well theatre is, obviously, they're waiting longer to get there and they miss your ads. So just sort of curious what you're seeing today in terms of moviegoers and the timing they get to theatre? And of course, I know that a big portion of your ads now are post show time. So that's a plus. And the second part of that with Avatar 2 coming out in the fourth quarter, are you planning 3D ads? I believe the last cycle we had on 3D you experimented with 3D ads with some success in the higher CPM? Thanks guys.
Tom Lesinski: Right, on the 3D Avatar question, if there was an advertiser that wanted to run a 3D ad, we would certainly find a way to accommodate them. I think what you're seeing with Avatar already is a huge amount of pent-up demand for one of the biggest franchises ever. So December, with Avatar is just a real win-win for us. And we're really, really excited about not just the fourth quarter, but the upcoming summer releases are really substantial too. Everything from Top Gun to Jurassic so this next six, seven months is going to be a real showcase for not just the advertising part of our business, but just the attendance part because as people keep coming back they keep seeing theater advertising for new movies and it's going to hopefully get the whole consumer behavior back in sync. Because remember, one of the best ways to reach people for advertising and movies in a theater and we know it's a great way to reach 18 to 34 year-olds. Can you remind me of your first question, again, Eric?
Mike Hickey: Just curious on the -- how moviegoers are fulfilling the theater timing-wise, whether they're coming later to the show start or not given?
Tom Lesinski: Yes, so that's a good question. So as you know in 2019, we implemented six minutes of post-show advertising to make sure we had enough, inventory to manage any sort of later arrivals. And while reserve seating is obviously very commonplace, we haven't seen a big shift honestly, in the last year in terms of our own surveys of when people arrive. So while some people arrive early and some arrive towards the start, the actual shift in that buts and seats has not really changed much over the last year or so. But obviously, we keep an eye on it. We do surveys regularly to look at it. But right now, we feel really good about the amount of advertising we have versus how many people are there and what the attendance look like. So that's, I would say, surprisingly stable, and we're quite happy about that, and we're certainly benefiting from the six minutes of advertising we have after show time.
Mike Hickey: Nice thanks Tom, thanks Ronnie go lucks guys.
Tom Lesinski: Take care of Mike, thank you.
Operator: Our next question comes from Jim Goss with Barrington Research. Please proceed.
Jim Goss: Thanks. Tom, I was wondering the discussion you had I believe you called it NCMx targeting data capabilities. I wonder if you could talk a little bit more about how you can sell that and execute on it. And would that sort of thing extend to perhaps mixing ads differently by the evaluation of the demo served by specific theaters or screens, theaters, I guess, in general with that? Thanks.
Tom Lesinski: Yes, so it's a good question. So NCMx has been an important initiative for us. We know that marrying the captive nature of a cinema ad with a powerful data story is hard to beat. And as well as the digital media guys have done from Google to Facebook to others, we knew that, that was a core thing for us to do. And it's taken us a little while to do that. But building a data-centric business is critical to meeting the needs of today's modern advertising marketplace. And we've been focusing on accelerating the growth of our data by building a really better product portfolio. So NCMx greatly expands our analytics, and we can truly really collected data before, during and after that experience, which really allows us to aggregate all this highly valuable data, and we collect it both from consumer-facing apps as well as from Noovie Trivia as well as from movie ticketing data and our founding member relationships. So we feel like we're going to have one of the great movie databases in place married to, I would say, an unrivaled captive audience. We can do it both regionally and locally to answer the second half of your question. And we can target it across, obviously, any of the demos that our advertisers want. But more importantly, we can track the behavior of those consumers and what they do after they see our message. And we can bring that back to the CMOs and to our clients and let them get even more comfortable about the efficacy of our ad platform. So this is a really big deal for us, and it was something kind of we didn't have some time ago. And I think now we have a very, very compelling offering both from an immersion as well as from a data quantification and analytics platform. So we're excited many of our clients have already taken advantage of it. But now we've got a great experience with data steroid levels behind it.
Jim Goss: And if you do something like this, like some of the advertiser clients willing to pay you higher CPMs for maybe fewer applications? And are you better or worse off doing that or is there just a timeframe gap between which you start to execute on that sort of thing and you get to the end game of having more of it [ph]?
Tom Lesinski: What I can say hey Jim, it's a good question. As you know, we have some of the highest, if not the highest CPMs, not just in cinema advertising but in the media marketplace in general. And I think the data analytics package that NCM provides NCMx provides, allows us to maintain very high CPMs. When you kind of look at our business, besides the Super Bowl, the NBA playoffs, the World Series and the Academy Awards, nothing is priced as expensive for the most part as NCM's ad platform. So I think maintaining CPMs is actually an achievement. And candidly, this goes a long way to doing that. It also, I think, more importantly, attracts new advertisers to our platform who may not have been as capable or may not have been as interested in being on the platform because they couldn't quantify the impact of it. We did a big test with a pharmaceutical company, and they linked the behavior of the consumers who had been in theaters to an actual prescription that was filled and completed. And that was an example of a category that we hadn't done a lot of business in before. So I think a big benefit of NCMx besides maintaining high prices is attracting new advertisers. And I think that's probably the bigger and more important impact that it will have.
Jim Goss: Okay, one last thing. I wonder if you could frame out the price difference between pre and post-show-time ad - like how much less expensive for the pre or how much more expensive than the post how do you want to frame it?
Tom Lesinski: But Jim, we haven't disclosed the specificity of that. Directionally, there's no doubt that post-show advertising, particularly the platinum spot is significantly more expensive. Let me try to get back to you and see if there's a way to give you a little more to quantify your modeling on that. But we haven't, as far as I know, disclosed that. So hopefully, we'll be in a position to do that sometime in the future.
Jim Goss: Okay. Well, thank you very much.
Tom Lesinski: All right take care, Jim. Good to hear your voice. Good to see you in Las Vegas, too.
Operator: Thank you. At this time, I would like to turn the floor back over to Tom Lesinski for closing comments.
Tom Lesinski: Okay. Well, thank you all for your questions. As we mentioned previously, we are now well positioned for growth with the return of audiences to theaters, a growing slate of great films and sales momentum coming out of our upfront events. Advertiser demand for hard-to-reach diverse 18 to 34-year-old demo has never been stronger as linear TV ratings decline and NCMx, our expanded data analytic capabilities makes us even more competitive. With digital platforms at a time when changes in online and cell phone privacy, control raise questions about the future effectiveness of digital. All of these positive market dynamics and progress we have made advancing our business strategy during some challenging times have positioned us well for success in 2022 and beyond. I'd like to once again thank our senior management team and the staff for all the hard work to help us move beyond the challenges of the past few years and thank our shareholders and lenders for their support and patience. We truly appreciate you joining our call. And hope that all of you continue to stay safe and look forward to seeing you all again at the movies. Thank you.
Operator: Thank you. This does conclude today's teleconference. You may disconnect your lines at this time and thank you for your participation, and have a great day.